Operator: Good afternoon. Thank you for attending today's Skillz First Quarter 2022 Earnings Call. My name is Hannah, and I will be your moderator for today's call. [Operator Instructions]. I would now like to pass the conference over to our host, Stefan Gerhard, VP of Finance. Please go ahead.
Stefan Gerhard: Good day, and welcome to the Skillz First Quarter 2022 Earnings Conference Call. I'll proceed shortly by reading our forward-looking statements and non-GAAP measures, immediately followed by a brief introductory remark and then a question-and-answer session.  Hosting the question-and-answer session today, we have Andrew Paradise, Chief Executive Officer; Casey Chafkin, Chief Revenue Officer; and Ian Lee, Chief Financial Officer of the company.  We hope you've had a chance to read our press release and stockholder letter, which we published earlier today, and both of which are also available on our Investor Relations website. We have also posted to our website a short video of our CEO discussing our business highlights this quarter.  Some of management's comments today will include forward-looking statements within the meaning of the federal securities laws. Forward-looking statements, which are usually identified by the words such as will, expect, should or other similar phrases, are subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect. Therefore, you should exercise caution in interpreting and relying on them. We refer you to the company's SEC filings for a more detailed discussion of the risks that could impact future operating results and financial condition.  During the call, management will discuss non-GAAP measures, which we believe can be useful in evaluating the company's operating performance. These measures should not be considered in isolation or as a substitute for our financial results prepared in accordance with GAAP. A reconciliation of these measures to the most directly comparable GAAP measure is available in our first quarter 2022 earnings release.  With that, I'll turn the call over to Andrew for some brief opening remarks.
Andrew Paradise: Thank you, Stefan. Good afternoon, everyone, and thank you for joining us today to discuss our first quarter 2022 results. Our Q1 stockholder letter was just published to our Investors site this afternoon. I highly encourage everyone to take a look at it when they have time.  Before we begin taking questions, I'd like to share a few thoughts. This quarter, we commenced our transition to profitable growth, and that really required a significant change for our 2021 plan. Change isn't easy. I think we all wish it would be a lot faster. As the larger shareholder at Skillz, I'm certainly not satisfied with the current financial results. However, we made significant progress this quarter towards our goals for the 2022 year. And as a reminder, our plan is to exit 2022 with a year-over-year revenue after engagement marketing growth rate above 30%, while moving our adjusted EBITDA margin to be better than negative 30%. We still have a lot more work ahead of us, but we're targeting to reach breakeven as a business by the end of 2024.  So to that end, let me give you a quick recap of our Q1 financial results. Revenue was up 12% over the prior year period to $93 million. Paying monthly active users was up 22% over the prior year period to 569,000 users. Revenue after engagement marketing was up 8% over the prior year period to $51 million. And adjusted EBITDA improved by $17 million over last quarter, which was Q4 2021.  As we discussed last quarter, we remain focused on improving marketing efficiency this year. And we made some progress in Q1. We improved UA marketing efficiency, which enabled us to significantly reduce spend while maintaining revenue after engagement marketing. And we eliminated low return in engagement marketing programs, which resulted in a meaningful reduction in engagement marketing as a percentage of overall revenue.  Overall, Q1 results were in line with our expectations as we've been moving from our 2021 strategy to our 2022 strategy. And additionally, in Q1, we were able to unveil some of the product innovations that we've been investing in for quite some time, which is an important step towards building a more balanced growth profile. We launched a private beta of our hot gaming product. This is a technology that will unlock a larger play audience for us and a better onboarding experience. It gives us access for the first time as well to computer users through web games. There are about 1 billion deployed computers out there that we'll be able to access with our cloud-based gaming product. We also rolled out chat system-wide, which will drive deeper user engagement.  On the consumer side, on the developer side, we continue to invest in our developers and their content to diversify the range of games on our platform. We saw for GDC record level of interest from the game developers at the Game Developers Conference, or GDC, which I think was very exciting, especially considering that attendance in GDC was down significantly from the prior conference prior to COVID. We also, this quarter, signed a multiyear partnership with UFC, the world's premier mixed martial arts organization, to create a branded mobile game, and we selected finalists for the NFL and Skillz game developer challenge where these NFL inspired game creations are now moving into the soft launch phase on our platform.  While we definitely can't control the stock price, we can control and be committed to building revenue and increasing profitable growth. And we'll continue to do this through higher marketing efficiency, more social features, improving our core product experience, improving greater personalization on the platform, building more features for our developers to be able to monetize their art and increasing the investment in our developer community through education and insights. We've shared all of this in more detail in our Q1 stockholder letter, which is published to our website, and I hope you'll get a chance to read.  The future of interactive entertainment is incredibly bright. It's a massive and fast-growing opportunity that we're still in the early innings of. And as such, we will continue with our 2022 plans to pursue profitable growth while investing in building technologies that excite our consumers and delight our developers.  When we first set on the path to build this business 10 years ago, we started building this creative and innovative platform that builds a better experience for players and better monetization for developers. So for those of you who want to be on the journey with us, my sincere gratitude for the belief and support when things haven't been easy.  So with that said, let's open up for questions.
Operator: [Operator Instructions]. The first question is from the line of Jason Tilchen with Canaccord Genuity.
Jason Tilchen: At the Analyst Day, you detailed the ambitions around cloud-based gaming and some of the potential there. And you obviously talked about it again in the shareholder letter with the beta test that's being done. Just curious if you could share anything about engagement from users on Android versus iOS during the testing. And then do you have any sense of the magnitude of the potential contribution from -- that Android could have over time to the overall user base as more users are able to sort of get around the Google Play app store and access your games?
Andrew Paradise: Sure. It's a great question, Jason. Thank you. So the way we -- first, on cloud gaming, we're in private beta testing on 3 games. So it's really still early to be talking about user behavior. So we're just starting to collect data, but we certainly continue to believe that this can both increase LTV and lower UAC for our business.  Separately, I can comment a little bit on the Android opportunity. If you think about our core market, which is the U.S. market, we're over 95% payer are U.S.-based for us. We -- when we look at that market, about 60% of all the smartphones in the U.S. are Android. And about 2/3 of those are Android with a comparable experience to the -- experience we deliver on iOS. And so you can sort of size the magnitude of what it would mean to have meaningful Android distribution from that.  Casey, do you have anything you'd like to add about distribution?
Casey Chafkin: Yes. Thanks, Andrew. Just that from a -- when we look at the cloud gaming opportunity, it's both the domestic opportunity, which we're pursuing right now, as well as the global opportunity and certainly sizing the Android footprint on a global basis. It's roughly 70% of the market. And so while we are early in private beta testing on the cloud product, very excited about the upside, both inside the United States on Android, but also globally. And that doesn't even include the web market.
Andrew Paradise: The final thing I'd add beyond even what Casey said is that the other piece of cloud is that it will really clean up sharing. Because if you think about right now when -- most video games that are popular, they actually have a pretty big viral coefficient if not go fully viral. And with our current platform, without really having a great service offering, be it Google Play and non-Android, we really damage our viral coefficient. So one of the things that's exciting about cloud, if you think about the sharing opportunity, if I'll just pick on KCS and iOS user, if he shares to Andrew on his on my Android device, it's literally going to be sharing the game via single text link. And that link, when I tap it on my Android, will instantly launch the game and enable me to play with Casey. And so it's a very different user experience that I think has a lot of reasons to have merit. But having said that, we should -- we just want to caution everyone that we don't have data yet to share on cloud.
Operator: The next question is from the line of Jason Bazinet with Citi.
Jason Bazinet: Just had two questions. As you guys focus more on efficient marketing spend, can you help us think through how you think that impacts paying users and ARPU? And then second, I think you guys mentioned that some of these cost saves didn't kick in for the full quarter, it's just sort of a partial quarter. So can you just elaborate on that if it continues into the second quarter as well?
Andrew Paradise: I was having a little bit of trouble hearing you. I think the first question was efficiency on marketing spend and how it impacts paying monthly actives in ARPU?
Jason Bazinet: Correct. Yes.
Andrew Paradise: Okay. Okay. I think probably, Casey, you're the best person to talk about that as you control user acquisition side of the business.
Casey Chafkin: Absolutely. And Jason, thanks for the question. When you think about reduction -- sequential reductions in marketing spend, we see an initial reduction in the paying MAU on the system. So if you look at this quarter in particular, we caught our user acquisition spend by 30%. Our paying MAU was only down by 7%. And that's because the product itself is quite sticky, and we continue to see more efficiencies as we cut that spend. And so as we sequentially reduce marketing spend, you see an initial reduction in paying now. Then it will level off and then it will continue to grow based on the long-term retention of the system.  In terms of the average revenue per paying user on system, most of the users on system today are mature users, and so reductions in marketing spend don't have a very large impact on that number at a system level that we would expect to continue buying higher and higher-quality users as we reduce marketing spend. Does that answer your question?
Jason Bazinet: It does. So then when we look at that ARPU decline that we saw year-over-year, that's really more sort of COVID lockdown sort of comps as opposed to linked to the marketing efforts?
Casey Chafkin: Q1 certainly, when stimulus checks were issued globally, I think, increased discretionary income in the market and had a positive effect on our business.
Jason Bazinet: Okay. And then my second question was just on the cost saves. I think you said those kicked in during the quarter maybe, not for the full quarter. Is that true?
Andrew Paradise: Ian, do you want to comment a little bit on the impact for Q2 on cost savings?
Ian Lee: Sure. Just I'll let first. Jason, it's Ian. So just on that first part, yes. So we kind of -- sorry, can you hear me okay, Jason?
Jason Bazinet: Yes, yes.
Ian Lee: Sorry about that. So we did reduce user acquisition and engagement marketing across the quarter. So we did certainly exit at a lower rate in March relative to March -- to January. But yes, that kind of kicked in. I think as Casey discussed, the best day kind of is we got into the middle part of the quarter. So then again, during the course of the quarter, we saw more of that, if not for the fall in January.  As we get into Q2, I'd say for user acquisition, we certainly continue to look at an ROI-based approach. We've got a lot of work that we're doing there in terms of how we can use our products to reduce user acquisition costs, but also grow the lifetime value of our user base. So I think when we look at user acquisition for Q2, obviously, without getting to a specific guidance, but I think right now, our rough estimate where we think UA might be somewhere between the $25 million to $35 million range for user acquisitions Q2.  Similarly, for -- on the engagement marketing side, we spend a lot of effort looking at how we could be more focused on optimizing the spend there. In Q1, we really focused on a reduction of engagement marketing as a percentage of revenue by eliminating low return programs. So in Q1, we captured a lot of that low-hanging fruit, if you will. As we get into Q2, we're going to continue running deeper test to take the loans we've had beyond just those low-hanging fruit to see where else we can further optimize the programs, I think, more so in the latter half of the year in Q3 and Q4. So my expectation is that engagement marketing as a percentage of revenue will be probably relatively flat in Q2, again, relative to Q1, again, as a percentage of revenue.
Andrew Paradise: That's right, Ian. And maybe just to summarize that, and expect continued sequential decreases in marketing as a percentage of revenue quarter-over-quarter as we continue to get more efficient with the business.
Operator: The next question is from the line of Brad Erickson with RBC Capital Markets.
Bradley Erickson: First, just with regard to the cash burns and the balance sheet with where you're at today, maybe talk about how you balance product development and marketing spend to try and hopefully reduce those burns. And at some level, I just wonder, do you speed up or slow down product development as you look to mitigate those burns? And then I have a follow-up.
Andrew Paradise: Sure. Great question, Brad. I think the approach we're taking is being very thoughtful about what are our short-, mid- and long-term product development returns and then running a milestone-based approach as we tranche investment into each of those different investments. So very short-term investments we're making, we'll be rolling out by the end of this quarter a new core loop for the player experience. So you'll see pretty significant user interface changes around the core experience for players. That would put that in that short-term bucket of investment and return.  If you think about something that was originally a long-range investment for us and now is coming to yield, cloud-based gaming is something that we actually have been investing in for multiple years, although we only unbilled it last quarter. And I would argue that our expectations for something like cloud, where it's a longer-range investment in dollar -- sizable dollar figure, that we expect even more returns than something short term like core loop.  Ian, do you have anything you'd like to add?
Ian Lee: No, I think you catch it.
Bradley Erickson: Got it. And then maybe just a follow-up, Andrew. Remind us on some of the other categories you've talked about in the past, just -- and particularly the ones that you think can drive payer growth and hopefully better retention over the next year or two. Just any categories that you're really excited about on the horizon.
Andrew Paradise: Well, I think we're all excited about sports as a burgeoning category on the platform because it primarily speaks to a male and younger demographic. And so it will allow us to attract player types that are not the majority of players today on platform. When you think about some puzzle or card, you're typically getting a more women demo and a bit older. And so we're pretty excited about sports generally.  I think specific sports titles, I'm very focused on the numbers, as I think it's we're in soft launch now with the NFL games, having the UFC signed and focusing on getting a great game built with UFC. I'm certainly a UFC fan at least from a personal standpoint, I'm excited about content that I'll really enjoy playing on platforms. And all this is helping us yield from our Photon investment last year. If you remember the $50 million investment in Ex Games, Photon is a really important technology for us as we move into these like synchronous sports or fighting games.
Operator: The next question is the line of Clark Lampen with BTIG.
William Lampen: Two for me, please. Maybe first, Andrew, I'll follow up on your comments on UFC. Could you maybe go a layer deeper with the UFC and the NFL also if it's relevant? What specifically do developers that are building on the Skillz platform have at their disposal in terms of IP? Or are there sort of exclusive elements of the relationship in any way? And I suspect I know the answer to this already, but the possible you might be willing to be a little bit more specific on the timing for launches? Is it possible that we could see a gain in the first half of next year?  And my second question is for Ian. The stock comp figure that we saw in Q1, could you help us think about what a sort of good underlying SBC dollar figure or expense ratio would be for 2Q onward over the course of the year?
Andrew Paradise: Great. Yes. So let's talk first about the deals with UFC and NFL, and probably Casey would be best to talk about them and see his teams actually do the partnerships.
Casey Chafkin: Absolutely. Really excited about both partnerships. The typical licensing model in mobile gaming for game developers often requires a very large upfront payment or minimum guarantee from the game developers to large, well-known brands like the NFL or UFC. And the result of that is you get very little development innovation in the content that comes from that because SOKE developers have access to the content.  And so in -- with respect to the partnerships on Skillz, there are 2 big things that the developers are getting. The first is access to the IP and the right to build games inside the category without paying those upfronts and minimum, and that creates both more interest and more developers building content and also increases innovation because it enables developers to take more risk.  The second thing that developers get is marketing support and lower marketing costs. And that comes both from access to the marks and marketing assets that each of those brands possess as well as marketing support from the entities themselves for the games when we go to hard launch.  In terms of timing, I know everyone is really excited to hear about new hit games. We're really excited about new hit games, too. The interesting thing about our platform is that as the games are getting more complex on the platform and developers are increasing the investment that they're making into those themes, the typical soft launch period gets longer as the game developers are spending more time fine-tuning and optimizing the core loop and experiential factors inside the games. And so what we're seeing is a growing number of those kind of soft launch games that we're excited about. And I think we have said that the current time line, and we're still on that time line, is to declare an NFL -- a winner of the NFL competition right around the kickoff for next year's season.
Andrew Paradise: And Ian, do you want to hit the stock-based comp question?
Ian Lee: I will. Thanks, Andrew. So Clarke, just on the stock-based comp. So the total number which you saw for Q1 of about $78 million, that includes about $65 million, which is a onetime-related expense due to the cancellation of a CEO-related performance stock units. So if you would exclude that $65 million at onetime stock-based comp charge in Q1, that will give you closer to what will be the kind of a quarterly run rate, if you will.
Andrew Paradise: I mean a little credit for canceling my own comp. I recommended to the Board to cancel my comp given company performance. I think no one in our team is excited about where we are right now. And I think everyone on our team is very focused on getting the path built to a great future business. The pain of moving off of 2021 strategy to 2022 is not insignificant. It's cultural, and it's a big shift. But we're moving as fast as we possibly can to benefit all of our shareholders, of which I am one as well.
Operator: The next question is from the line of Brian Fitzgerald with Wells Fargo.
Brian Fitzgerald: I had a couple of questions around Aarki. First one being, are you seeing more mobile publishers lean into Aarki given impacts from AT&T, not to you guys, but they don't have enough data to target. And so they're leaning into kind of the scaled data of Aarki. That's the first one. And then I have 2 more.
Andrew Paradise: Sure. Casey, do you want to chat a little bit about Aarki and how we're -- I guess there are a couple of things to talk about there. One is removing spend over and then I think also talking about the post-IDFA world and data.
Casey Chafkin: Sure. Happy to provide a little bit of guidance there, Brian. We don't report on Aarki as a separate business unit, though we are -- we continue to be really excited about the business prospects for Aarki and its opportunity both to enable Skillz to offer a complete service offering to developers around both monetization and acquisition, but also the synergies that exist between our business and the Aarki business, particularly with respect to both our media spend and our ability to potentially enhance Aarki's targeting abilities with first-party data.  And so we're -- we haven't shared exactly how much spend and when we're planning to move to Aarki, but we do plan to migrate a significant portion of our own spend to our owned and operated DSP Aarki this year. And we expect to see continued growth in that business unit, both based on the kind of tracking landscape that exists, but also the strong product that, that company has.
Brian Fitzgerald: Got it. And then the other one was just around -- want to know if you're seeing kind of concerted efforts to take kind of supply path optimization. Maybe you don't see it in the -- on the mobile side of things, but take supply path optimization techniques and kind of wean out some of the waste or noise in the middle of the ecosystem to drive more value really into the DSP. So away from you guys seeing efficiencies. But do you see people kind of narrowing the amount of DSPs they work with to kind of more focus on the channel, and then, therefore, deliver more value out of the process?
Andrew Paradise: I don't think we see that, but I'd defer to Casey, if there's anything I'm unaware of. I think generally, we see customers -- including when we're buying off of DSPs, we're looking for best value per dollar spent. And it's very much like a dollar-based ROAS approach. Casey, do you have comments?
Casey Chafkin: Yes, I was just going to add. Certainly, machine learning-based businesses definitely have synergies that come with scale. And so buyers will exercise those synergies where possible. But what we've also seen is that the buyers, as Andrew pointed out, are just as we are really geared towards efficiency of the dollar and are going to go with the provider that gives them the best return on ad spend. And that often isn't necessarily from a winner-take-all spend profile.
Andrew Paradise: Yes. Yes. No problem. The last thing I just commented is we haven't seen, on any DSP, including ours, machine learning able to build enough of a market lead to create that kind of winner-take-all profile. So...
Operator: The next question is a question from the line of Drew Crum with Stifel.
Andrew Crum: Okay. So you added to your headcount during 2021. Is the 15% increase in employee salaries been anniversaried? Or is that something that should continue over the course of the year? In other words, are you planning to add more intellectual capital? And we've heard the labor market's been pretty tight. What has been your recent experience in terms of employee turnover? Are you finding it's been more difficult to retain employees or just not seeing any issues with your company?
Andrew Paradise: Yes, the 15% increase was a onetime, really recognizing proactively the level of inflation that our employee base is experiencing and moving proactively ahead of that. So it's very much a -- increase and it's in our Q1 run rate.  In terms of regrettable attrit, we haven't seen a huge uptick in that, but it is something we're laser-focused on. Regrettable attrition is, I think, one of the measures of the health of a good business, and we're very cautious about that. It's something that we look at on a weekly and monthly basis. And I would add, I mean, generally, our understanding of the market right now is that the labor market for our type of business is very tight. We have a unique market position. There are very few companies in the world that have a B2B2C business where the B2B piece is the developer community and the B2C piece owns a consumer login with payment credentials. And I think for employees in the technology space, in the tech platform space, that uniqueness, combined with the upside potential for our company, it's actually -- it's anything I'd say, than some of the best hiring we've seen in the last few months. Happy to add more color if it's helpful. 
Operator: The next question is a follow-up question from the line of Clark Lampen Lapin with BTIG.
William Lampen: I just wanted to go back to Jason's question earlier and maybe sort of been asking the follow-up and display a great deal of ignorance along the way. But I think if I heard and sort of understood what Casey was saying about in the short run, the focus being trying to really dial in on the most valuable, maybe more mature cohorts on the system, improving their experience and then most likely monetization also. Is the future sort of next leg that encompasses player growth, I guess, beyond that expected to be mostly a function of kind of unlocking greater efficiencies with the smaller dollar marketing budget? Or I think I missed sort of another component of the latter part as it pertains to sort of driving future user growth on top of better monetizing those existing higher-value cohorts and wanted to circle back on that topic. I appreciate the commentary.
Andrew Paradise: No, that's a great question. I think this year, we're very focused on driving efficiency, so profitable revenue growth in bringing our overall adjusted EBITDA within a range of going cash flow positive, I think we've been messaging repeatedly that we intend to be breakeven as a total business by the end of 2024. And for this year, it's very much been a focus of getting our business in position to make that possible.  I think in terms of marketing and user growth, I'll turn it over to Casey to talk a little bit about how we're working against both UA and engagement marketing.
Casey Chafkin: Thanks, Andrew. I think, Clark, the way to think about it is the first thing that we're doing is reducing the inefficient spend in both our user acquisition and engagement marketing. And once that inefficient spend is eliminated, there's a short run it's not 0 efficiency, it's just inefficiency. And so there's a short-term extensively kink in the growth curve that comes from that after you cut that inefficient spend. we think about continuing to grow profitably the revenue base of the business and the user base of the business through 3 things. One is the continued profitable investment in those effective marketing channels and direct-to-consumer advertising. The second is continuing to drive high-quality content to the platform and increasing the number of developers who are marketing that content rather than Skillz marketing that content for them. And the third thing is continuing to invest in products that both increase our LTV, but also drive growth and reduce friction in the distribution of the product.  So I think when Andrew mentioned a couple of those investments, core loop being something that helps drive an improved on system player experience, which increases LTV, cloud gaming being an example of an investment that reduces friction in the discovery of the product itself and viral coefficient, which accelerates growth on top of the existing marketing investments that we're making.
Operator: There are no additional questions waiting at this time. So I will turn the call back over to Stefan Gerhard.
Stefan Gerhard: Great. At this point, we'll post some of the questions that we collected from investors through our Say Technologies portal. The first question is going to be for Andrew. Andrew, are we looking to make aim that will provide rewards in cryptocurrencies and NFTs?
Andrew Paradise: We're definitely aware that the crypto community is now marketing pay to earn at a pretty frenetic pace is one of the bigger themes at GDC or the Game Developer Conference this year. To be honest, in some ways, we found it very flattering because Skillz is the original pay to earn business. But generally, when we're looking at crypto for payments and NFTs for prices, and thinking about how that is or is not gaining traction in the broader player community. We're looking at for our developers and how to implement it. And it's something that has been considered and deprecated from near-term road map. Now for, gosh, I want to say almost 10 years since we first mined Bitcoin with their servers in 2012.  So I don't think we want to message to anyone out there that we're -- that you'll see a meaningful crypto business from us in the near term. Other than that, we're continuing to investigate this and seeing where does hype meet reality and what we can deliver for our developers.
Stefan Gerhard: Great. Thank you, Andrew. Next question is for Casey. Are you partnering with any large developers to increase the content on the platform or the audiences that you can reach?
Casey Chafkin: Thanks, Stefan. What we've seen over the life of the business and continue to see now is that both the size of the developers that we're partnering with and the complexity of the content that they're building on the platform continue to increase as a business. If you imagine in the early days, the service offering of the product was best suited to smaller companies because we had just started building it. And as we build both the network effect of the system, the optimizations that come from large data and player matching, anti cheating and fraud as well as just the aggregate feature set, we're seeing that the size of customer that we're able to attract and do business with continues to increase, and the sophistication of the experiences that they built continue to increase.  And so we've announced a couple of those, if you think about IP holders like the thought Hunter or Trivia crack, which is the maker or Etermax, I'm sorry, the maker of the largest trivia game in the world, Triviacrac. You can see in the proof point, some of those developers starting to join the ecosystem and you should continue to see that trend just as we have over the past few years.
Stefan Gerhard: Great. Thank you. Next question, this one is for Ian. Ian, when can we expect more news and direction regarding growth and profitability?
Ian Lee: Well, thanks, Stefan. So I think just to recap some of the guidance we gave for the full year last quarter. So again, the full year revenue guidance was sort of $400 million and the full year for 2022 revenue after engagement marketing guidance was for $245 million. And then again, just to recap, I think Andrew mentioned a little earlier, we expect to exit Q4 of this year with the target revenue after engagement marketing growth rate of above 30% in adjusted EBITDA margin of better than negative 10%.  Just a little bit more color on some of the trends we expect for the rest of the year or at least in the next quarter. So I think you'd say on the top line revenue growth rate, given the continued optimization we're looking to do on engagement marketing, I expect the growth rate in Q2 probably to be a little bit lower than Q1. And then on the revenue after engaged marketing growth rates, probably looking to see that stabilize and improve during the year as we optimize around user acquisition marketing and also have you seen more impact from the product initiatives that we talked about earlier in the call.  So expect more of those product initiatives to have probably a large impact on revenue after engagement marketing towards the end of the year as we kind of go out those features to more users on the system. Thank you.
Stefan Gerhard: Great. And since I've already got you all, I'll get the next one to you as well, which is for Ian. Is Skillz thinking about buying back stock given current pricing?
Ian Lee: Thanks again, Stefan. So look, we're always going to evaluate all the alternatives we have to -- how we use and allocate our capital. So we're of the view that today, we can generate a much higher return for our shareholders by investing in our business, so building better products and better platform for our users and developers, better content and let people downstream things potentially like a stock by back today. So we continue to look at all the alternatives, and we'll continue to do what we think is the best and highest use of the capital that would generate long-term returns for all of our shareholders.
Andrew Paradise: Yes. Maybe I'd just add, Ian. I think it's unlikely that we're going to be pursuing a stock buyback in the near future.
Stefan Gerhard: Makes sense. Next question. This one is for Andrew, again, talking about for the future of gaming. Are you coming up with any new games that would go with the metaverse?
Andrew Paradise: We started talking about building the competition layer for the Internet several years ago. And I think a lot of people are talking about the metaverse in the past 12 months. We believe that competition can be abstracted from all other digital activities on the Internet into 1 centralized platform and that we can make that experience by abstracting competition into 1 place. We can make competition in the digital world better, fairer, purer and of course, higher retaining and higher monetizing than by building it in individual instances all over the Internet.  Mobile gaming is really just the beginning for us. And so when we think about things like the metaverse, I would, to some extent, put it in a similar bucket as crypto, a lot of people talking about it. not yet a lot of users actually demonstrating user behavior. And so I think the last number I saw, we're at like about 15 million oculus is now shipped 15 million oculus or 4-plus billion smartphones and tablets. I think we're actually coming up about 5 billion smartphones and tablets now.  So we're really focused on building software for platforms where there are really large-scale adoption. And I'd say, after smartphone and tablet, we -- I think we've talked a bit about cloud now, but I'll say it one more time that still 1 billion personal computers out there, 1 billion personal computers. It's a massive number. And I think that opportunity is not to be taken lightly. I think it's a huge opportunity, especially for our power users. So if you think about the 1% player on Skillz the play 4 hours a day plus on platform and getting a better form factor for those power users well the very lease will be -- we're not invested in or are profiting from chiropractor visits. So for all the users who are playing 4 hours on their smartphone, I think they're going to have a better ergonomic solution coming soon.
Stefan Gerhard: Next one, also for you. What steps are you taking to open up cash-based competition in more states within the United States?
Andrew Paradise: Sure. So when we started the business, we were very conservative. We said, look, we're only going to enable jurisdictions where there's a clear law that states explicitly that we can operate, what we refer to as white listed jurisdictions. We're going to stay away from anything that's gray. And certainly, I think it's black gray being things where there -- it's not necessarily clear whether or not Skillz and Skillz-based competition in video games would be permissible.  Having said that, so we started in 36 states 10 years ago. We've had 5 states clarify their laws favorably since then. So Vermont, New Jersey, Iowa, Illinois and Maryland. So certainly, the trend has been very positive. And we plan to continue to invest in building relationships and educate decision-makers on the opportunity to explicitly enable video games for Skillz-based competition in the remaining jurisdictions. But the 41 states that we now have enabled covers just about 90% of the U.S. population. So certainly, I think it's not just about that remaining 10% that we could capture and have that growth added to our business. I also think it goes back to a theme I was talking about earlier with cloud, which is sharing and virality in content is really important. If you tell your friends, hey, you've tried this scheme in there in South Carolina right now or Connecticut and they can't play, I think it's a pretty disappointing experience.  So I think the most important piece beyond even the 10% growth is getting that ubiquity of experience for all consumers out there. And it's something we're very committed to.
Stefan Gerhard: Great. And that brings us to our final question. Andrew, this one is also for you. What future features, games and/or partnerships plan on pursuing an efforts to generate more revenue?
Andrew Paradise: Well, I'll talk about the ones that we've shared so far because new product launches that are certainly coming up for H2. But I don't want to get in trouble with our PR folks on preannouncing some of these things. But we talked about chat. And I think thinking along the lines of social and that experience of enabling more ways for players to connect with each other and around the content on the platform, certainly near and dear to us.  Continuing to invest in and innovate on competition formats and leagues, I think it gives an opportunity to every game in the platform to have a greater level of personalization for the -- each player. It's not necessarily meaningful if you're 47,000 placed in a league. And I think getting technology so that you can have local leagues and leagues with friends but having more relevant types of matchups and formats within your own community is really important.  We're streamlining the process for building sophisticated multiplayer games through the partnership we did with Exagan's Photon engine. It's now a relatively smooth process to deploy game using both the Photon engine and the Skillz platform. And that's going to enable a lot more content to come to market in things like racing and fighting and shooting, which are all genres new and dear to my heart. The more content that makes it to market by reducing friction of that developer experience, the more likely we are to see hits in those genres.  So when you think about developers investing their time on the platform to get to market, the easier we can make it to get to market, the more likely we are to have a hit game in a given genre. Also, as those games are getting live, we've actually built a progression system last year that we've been rolling out to the developer community, which enables developers to better customize the player experience and to enable users to have an increasing sense of ownership in progress as they play each game on the platform. And that goes hand in hand with something we're rolling out to not full footprint, but we'll be -- they'll be live on our store and at least our test game demonstrate this quarter, which is the new core product experience, which will give developers more freedom through their design of their games. They will also give the platform generally, let's say, a much more modern look that will improve the user experience.  So pretty excited about that coming to market by the end of the quarter. And I'll leave it at that.
Stefan Gerhard: Great. Andrew, that was the last question that we had. I turn it back over to you.
Andrew Paradise: Okay. Well, thank you all again for dialing in and spending your time to hear about Skillz business today. We're looking forward to providing an update on our continued progress when we report our Q2 results, and I am excited to get back to building with the team. So thank you again for all the time.
Operator: That concludes today's call. Thank you for your participation. You may now disconnect your lines.